Operator: Good day, ladies and gentlemen, and welcome to the Nordson Corporation Webcast for First Quarter Fiscal Year 2016 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Jim Jaye, Senior Director of Investor Relations. Sir, you may begin.
James R. Jaye: Thank you, Shaneez. This is Jim Jaye, Senior Director of Investor Relations and Communications. I'm here with Mike Hilton, our President and CEO; and Greg Thaxton, our Senior Vice President and CFO. We welcome you to our conference call today, Tuesday, February 23, 2016, to report our Nordson's FY 2016 first quarter results and our FY 2016 second quarter outlook. Our conference call is being broadcast live on our webpage at nordson.com/investors and will be available there for 14 days. There will be a telephone replay of our conference call available until March 01, 2016, which can be accessed by calling 404-537-3406. You'll need to reference ID number 44144362. During this conference call, forward-looking statements may be made regarding our future performance based on Nordson's current expectations. These statements may involve a number of risks, uncertainties and other factors as discussed in the company's filings with the Securities and Exchange Commission that could cause actual results to differ. After our remarks, we'll have a question-and-answer session. Now, I will turn the call over to Mike Hilton for an overview of our FY 2016 first quarter results and a bit about our second quarter outlook. Mike, please go ahead.
Michael F. Hilton: Thank you, Jim, and good morning, everyone. Thank you for joining Nordson's first quarter conference call. Despite a challenging macroeconomic environment, we're pleased to report very strong organic growth compared to the prior year across all product lines in our largest segments; Adhesive Dispensing. We also delivered positive organic growth in our Industrial Coating segment. We did see softness in the Advanced Technology segment during the quarter against a very challenging prior-year comparison. As a reminder, Advanced Technology organic volume increased 29% in the first quarter of FY 2015 compared to 2014. However, we are encouraged by recent order rates, which are up high-single digits in this segment for most of 12 weeks compared to the prior year. Including the first year effect of acquisitions, total company sales volume was up 4% in the quarter compared to prior year. Unfavorable currency translation continued to be a headwind in the quarter, offsetting the volume growth by about 5% compared to prior year. Operating margin in the quarter was 14% or 17% on a normalized basis, excluding the approximate effects of unfavorable currency translation compared to prior year. Reported diluted earnings per share in the quarter exceeded the level of the prior year's first quarter as one-time discrete tax benefits more than offset the negative impact of one-time charges. Unfavorable currency translation as compared to the prior year reduced reporting earnings per share by approximately $0.14. We also continued our balanced approach to capital deployment during the quarter, distributing $46 million to shareholders through share repurchases and dividends. Our second quarter 2016 forecast reflects our current backlog, which is up 10% compared to the end of the first quarter last year and our current 12-week order rate, which are up 1% over the same 12 weeks a year ago on a currency-neutral basis. The current run rate is likely stronger than the 1% as this period is impacted by the timing of Chinese New Year. We expect to deliver solid revenue growth in the second quarter over the prior year, including positive organic growth and a lower currency translation headwind based on the current exchange rate environment. At the same time, we remained cautious given the continued uncertainty in the macroeconomic environment. We're continuing to focus on the initiatives we've previously discussed that will improve normalized operating margin. I'll speak more about our outlook and current business trends in a few moments. But first, I'll turn the call over to Greg Thaxton, our Chief Financial Officer, to provide more detailed commentary on the current results and our second quarter guidance. Greg?
Gregory A. Thaxton: Thank you and good morning to everyone. Regarding first quarter results, sales were $372 million, a decrease of less than 2% from the prior year's first quarter. This change in sales included a 4% increase in volume from the prior year's quarter comprised of a slight improvement in organic volume and more than 3% increase related to the first year effect of acquisitions. Volume improvement was offset by a 5% decrease related to the unfavorable effects of currency translation as compared to the prior year's first quarter. Looking at sales performance for the quarter by segment, Adhesive Dispensing segment sales volume increased 12% as compared to the prior-year first quarter, inclusive of 11% organic growth and 1% growth from the first year effect of the WAFO acquisition. Unfavorable currency translation as compared to the prior year reduced sales by 7%. The 11% organic growth is an outstanding level in the current macroeconomic environment and reflects the resilience of the consumer non-durable end markets served by this segment. Organic growth was strong in every product line. On a geographic basis, we generated strong volume growth in Europe, Asia-Pacific and the United States. Sales volume in the Advanced Technology segment decreased 8% from the prior year first quarter, inclusive of a 15% decrease in organic volume, offset by a 7% increase related to the first year effect of the Liquidyn and MatriX acquisitions. Sales were also negatively impacted by approximately 3% related to the unfavorable currency translation as compared to the prior year's first quarter. As Mike noted, current quarter results in this segment are challenging in comparison to the prior year first quarter, where we delivered organic growth of 29%. The result for last year's first quarter do not follow the typical seasonality of this segment where volume builds as the year progresses. Organic volume growth during the current quarter in our surface treatment and medical fluid management product lines was offset by declines in other product lines, largely related to electronics end markets. These markets have historically driven solid organic growth for Nordson and recent order rates and project activity in the space are encouraging. We're also pleased by the performance of the Liquidyn and MatriX acquisitions in this segment, both of which are meeting our expectations. Organic sales volume in the Industrial Coating segment increased 2% compared to the first quarter a year ago, offset by a 5% decrease related to unfavorable currency translation. Organic growth in the quarter was driven by demand for our liquid painting, container coating and UV curing product lines. Regional demand was strong in Asia Pacific, the Americas and Japan. Gross margin for the total company in the first quarter was 53%, inclusive of a negative currency impact of more than 1 percentage point as compared to the prior year. As part of the margin enhancement initiative we have previously described, we incurred one-time charges during the first quarter of approximately $1 million, mostly related to the Adhesive Dispensing and Advanced Technology segments. We also incurred approximately $1.5 million of short-term purchase accounting charges in the quarter, within the Advanced Technology segment related to the step up in value of acquired inventory. Operating profit in the quarter, including these one-time charges, was $52 million and operating margin was 14%. As Mike previously noted, operating margin excluding one-time charges and the negative impact of currency translation as compared to the prior year was 17%. Looking at operating performance on a segment basis, Adhesive Dispensing delivered operating margin of 25% in the first quarter, inclusive of approximately $600,000 in charges related to restructuring and short-term purchase accounting charges for acquired inventory. Adhesive segment operating margin was 27% in the quarter, excluding these one-time charges and the estimated effect of currency translation as compared to the prior year. Within the Advanced Technology segment, reported operating margin was 7% in the first quarter, inclusive of approximately $500,000 related to restructuring charges and $1.5 million related to short-term purchase accounting charges for acquired inventory. Normalized operating margin within this segment to exclude these one-time charges was 8%. Operating margin in the current quarter reflects product mix and negative leverage on lower volume, mainly related to electronics end markets. Advanced Technology segment operating margin was 9% in the first quarter, excluding these one-time charges and the estimated effect of currency translation as compared to the prior year. We do expect to leverage sales volume growth to generate significant improvement in operating margin in this segment as the year progresses, which is typical performance for this segment. The Industrial Coating segment delivered operating margin of 8% in the first quarter. This level of operating margin reflects seasonally lower first quarter volume, typical of this segment. Excluding the approximate effects of negative currency translation compared to the prior year, segment operating margin was 10% in the quarter. For the company, net income for the quarter was $41 million, GAAP diluted earnings per share were $0.72, 4% higher than last year's first quarter. Excluding one-time items, normalized diluted earnings per share were $0.61. We've included an earnings per share reconciliation schedule in our press release to reconcile between GAAP earnings and normalized earnings per share. Additionally, unfavorable currency translation, as compared to the prior year, reduced first quarter earnings per share by approximately $0.14. The first quarter's EBITDA was $70 million and cash flow from operations was $49 million. Free cash flow before dividends was $38 million, reflecting cash conversion of 91% of net income. We have included a table with our press release reconciling net income to free cash flow before dividends. During the quarter, we continued our approach of returning capital to shareholders by distributing approximately $14 million in dividends and investing $32 million for the repurchase of shares. From a balance sheet perspective, we remain liquid with net debt-to-EBITDA at 2.87 times trailing 12-month EBITDA as of the end of the first quarter. We do have additional capacity available as we're currently borrowing well below our most-restrictive debt covenants and our strong free cash flow provides additional capacity. I'll now move on to comments regarding our outlook for the second quarter of fiscal 2016. As we typically do, we provided our most-recent order data both on a segment and geographic basis with our press release. These orders are for the latest 12 weeks as compared to the same 12 weeks of the prior year on a currency-neutral basis and with acquisitions included in both years. For the 12 weeks ending February 14, 2016, order rates are up 1% as compared to the same 12 weeks in the prior year. As we've noted in the past, order growth rates can fluctuate from week to week. And for most of the last several weeks, 12-week order rates on a currency-neutral basis have been positive compared to the prior year such that our backlog, excluding acquisitions, is up 8% over the prior year. And as Mike noted, there is likely some negative impact due to the timing of Chinese New Year in the most recent order rates. Within the Adhesive Dispensing segment, the latest 12-week orders are down 1% as compared to the same period in the prior year. Positive order rates in packaging and nonwoven product lines are offset by softness in other product lines. Geographically, orders were strong in Japan, Europe and the Americas. Again, timing does have an effect on order rates. And for most of this fiscal year, 12-week order rates in the Adhesive segment have been up mid- to high-single digits over the same periods a year ago. In the Advanced Technology segment, order rates for the latest 12 weeks are up 8% as compared to prior year. These order rates reflect a strong return in demand for automated dispensing systems related to electronic end markets with continued strength in our medical fluid management product lines. Order rates were strong in Asia Pacific, Europe and the Americas, while the U.S. and Japan were essentially flat. Within the Industrial Coating segment, the latest 12-week order rates are down 5%. Growth in cold material dispensing systems for automotive applications and UV curing products was offset by softness in other product lines. Positive order growth in Asia-Pacific, the Americas and Europe was offset by softness in other regions. Comparisons in this segment are challenging, where order rates were up 39% a year ago at this time; however project activity remains robust. Backlog at January 31, 2016 was approximately $247 million, an increase of 10% compared to the prior year and inclusive of 8% organic growth and 2% growth due to acquisitions. Backlog amounts are calculated at January 31, 2016 exchange rates. Let me now turn to the outlook for the second quarter of fiscal 2016. We're forecasting sales to increase in the range of 2% to 6% as compared to the second quarter a year ago. This range is inclusive of an increase in organic volume of 1% to 5%, 2% growth from the first year effect of acquisitions and a negative currency impact of 1% based on current exchange rates. At the midpoint of our sales forecast, we expect second quarter gross margin to be approximately 55% and operating margin to be approximately 19%. This outlook includes one-time charges of approximately $1.3 million. Excluding these one-time charges, normalized operating margin is estimated to be 20%. Unfavorable currency rates as compared to the prior year are estimated to impact gross margin and operating margin by about 1 percentage point. We're estimating second quarter interest expense of about $6 million and an effective tax rate of approximately 30%, resulting in second quarter forecasted GAAP diluted earnings per share in the range of $0.85 to $0.95, inclusive of a $0.02 per share charge related to non-recurring charges. In addition to the second quarter outlook, the following updates on FY 2016 full year basis may be helpful for modeling purposes. For effective rate, we're forecasting the full-year rate to be about 30% based on current tax law and excluding discrete items. For capital spending in 2016, we're forecasting normal maintenance capital spending to be approximately $50 million. In addition, we do expect to occur additional non-recurring charges associated with our margin enhancement initiatives, primarily associated with integration activities within the Adhesive segment. As we indicated last quarter, the size and timing of these non-recurring charges in FY 2016 is difficult to estimate precisely, but we expect these charges to be well below the amount incurred in fiscal 2015. In summary, Nordson delivered slightly positive organic growth in the current quarter in a challenging macroeconomic environment and against the robust period of organic growth a year ago. Reported earnings per share exceeded the level of the prior year's first quarter and normalized earnings per share exceeded the high end of our normalized guidance. Looking ahead, our current quarter backlog and recent order rates have been solid, leading us to forecast solid revenue growth over the prior year second quarter, including 3% organic growth at the midpoint of guidance. And we expect to leverage the sales increase to drive improvement in earnings per share as compared to the same period a year ago, despite a tough macroeconomic environment and currency headwinds. With that, I'll turn the call back over to you, Mike.
Michael F. Hilton: Thank you, Greg. Before taking your questions, I'd like to provide some additional comments on our recent performance and outlook. First, I want to thank our global team for their ongoing efforts. They continue to serve our customers at an extremely high level and are committed to continuous improvement. As Greg mentioned, given our backlog and order rates, we expect organic volume growth to be approximately 3% compared to the prior year, at the midpoint of our second quarter guidance. This is a strong level given the continued softness in the global macroeconomic environment and reflects the solutions we bring to the diverse end markets we serve. We're particularly pleased with the ongoing strength we're seeing in the Adhesive Dispensing segment and the return of demand we're starting to see within Advanced Technology electronics and markets. We expect to leverage this increased volume to deliver normalized operating margins and earnings per share and exceed the level of the same period a year ago. I'm also pleased to report that we're making solid progress on our margin enhancement initiatives. During the quarter, we continue to execute on integration and footprint optimization activities within the Adhesive Dispensing segment. We also took action within the Advanced Technology segment to drive efficiency within our electronic systems product lines. We plan to continue executing on activities across the company that will enable us to meet our goal of 200 basis points improvement to the normalized operating margin by the end of 2017. Overall, the trajectory of the global economy remains uncertain for the year. At the same time, we remain well-positioned to capture growth opportunities when and where they occur. We remain focused on continuous improvement and our strong ongoing cash generation provided the ability to fund multiple priorities that will benefit our shareholders over the long term. At this point, let me turn over the call to you for questions.
Operator: Our first question comes from the line of Liam Burke with Wunderlich. Your line is now open.
Liam D. Burke: Yes. Thank you. Good morning, Mike. Good morning, Greg.
Michael F. Hilton: Good morning, Liam.
Gregory A. Thaxton: Good morning.
Liam D. Burke: Mike, the margin improvement in Adhesive systems, could you give us a little color on the product mix there just directionally how the polymer business performed?
Michael F. Hilton: Yeah. So, this is a solid quarter for the polymer business. I'd say if you look at the margin improvement overall, I would say, something like a third that is probably related to the initiatives that we've talked about taking, and then the other two-thirds is split between the volume growth that we've seen and normalized continuous improvement kind of activities. And so, it was really solid quarter for both the sort of traditional core adhesives as well as the polymer business from a sales perspective.
Liam D. Burke: Okay. And on the electronics side, you're seeing the bounce there. How about on the mobile side, is there any life on that side?
Michael F. Hilton: Yeah. What I would say is, in this quarter, we haven't seen that sort of tick up. What have seen is some activity in the semiconductor side on sort of Advanced Technology, particularly affecting our dispense businesses. And we have started to see a step up in our tiered products in Asia where we have some penetration into the mobile customer base, primarily the Chinese mobile customer base, that's more than onesies and twosies. I would say the normal sort of seasonal pickup that we see in this business we'd expect to see more in Q2 and going into Q3. That said, there are a lot projects that we're working on right now, which is typical at this time, where we go through a qualifying effort and then the order placement tends to occur later in Q2 into Q3. So, I would say that activity level is high and particularly encouraging across the Dispense segment.
Liam D. Burke: Great. Thank you, Mike.
Michael F. Hilton: Okay.
Operator: Our next question comes from the line of Charley Brady with SunTrust. Your line is now open.
Charley Brady: Hi. Morning, guys.
Michael F. Hilton: Good morning, Charley.
Gregory A. Thaxton: Good morning.
Charley Brady: Can you just talk on the Adhesive Dispensing? You just commented on some of the margin there, but I wonder can you just give us what the aftermarket percentage was on that? And was there any sort of – was there any mix impact? I mean that's a pretty strong margin performance out of that segment this quarter despite the higher volumes.
Michael F. Hilton: Yeah. I would say – Greg's looking it up, because I don't remember off hand what the mix is on the parts and systems. I don't think that's a big issue in the quarter. And I would say really every product line was up nicely, whether it was the packaging, the nonwovens, the product assembly, the four product lines within the polymer area were all up nicely in the quarter. So, that was certainly very, very encouraging there. So, I don't think there's a significant mix effect. Greg on...
Gregory A. Thaxton: No. There is not. In fact, within the Adhesive segment, the percentage of parts sales is actually just slightly lower than what it was in the first quarter last year. So, it's not driven by a mix shift between systems and parts.
Charley Brady: Okay. And then just Mike on your commentary on the 12-week order rates in Adhesive Dispensing, down 1% for the whole 12 weeks, but you're saying, for the majority of that 12 weeks, is up mid- to high-single digits, is that correct? Can you just put some more color around that? Was it just you started off the year down significantly and just kind of snapped back or what's driving that?
Michael F. Hilton: No. I'd say there's a couple of things. I'd say, if you look at this year versus last year, we do have the Lunar New Year hitting in this order week period. So, for that week, we essentially registered no orders. And so, you have a bit of a swing associated with that. It doesn't mean there aren't orders. We just didn't have any recorded. I'd say, secondly, our core adhesives continued to remain up sort of mid-single digits. The polymer business was off a little bit, but there's really more lumpiness on products. If you look at that business over the last couple of quarters, it was up 9%, it was up 20%-plus in this quarter. It's just timing more than anything else there. So, there is a Chinese New Year effect, not sure how big that is. And then there's some project timing effect and solid sort of core adhesive performance.
Charley Brady: All right. One more and I'll hop back in queue. Just on M&A pipeline, can you just kind of give us a sense of how that's looking these days and sort of multiples on that as well? Thanks.
Michael F. Hilton: Okay. I would say, this year is looking a bit like last year, where we have a nice pipeline, but likely to be smaller tuck-in kinds of opportunities. The medical area is one, where there could be some larger opportunities. But at this point in time, it looks like smaller kind of tuck-ins is what we're talking about for this year as well. We can probably go to the next question then.
Operator: Our next question comes from the line of Christopher Glynn with Oppenheimer. Your line is now open.
Christopher D. Glynn: Okay. Thanks. Good morning.
Michael F. Hilton: Hey, Chris. Good morning.
Christopher D. Glynn: Hey. So, we've had a multiple kind of quarter period of some negative mix, I would call it, at ATS and you've started to – I think you've mentioned hints in the past, maybe a little more directly talking about stronger trends building for the dispense systems at ATS, which do help mix. So, just wanted to revisit the question on if there has been some primary fundamental resets on sustainable mix at ATS? And then, clarify the comment on expectations for margin improvement for the segment? Does that, in fact, refer to the full year or relative to the start to the current year?
Michael F. Hilton: Okay. Yeah. So, just a couple of comments. Last year, we had a more modest year from a dispense standpoint in the electronics systems side of that business and we had a really strong year as related to surface treatment or technology business. And that had a significant effect on mix, both good businesses and product lines, but a significant effect on mix. The surface treatment business is continuing to remain solid. The dispense business is starting to pick up. In this quarter, we've seen some of the advanced packaging on the semi side translate into nice orders with some of the new dispense technology that we have out there that works well at the wafer level. We also saw our Tier – sort of Tier II products coming out of China, going into some of the Chinese suppliers, that are largely on the mobile side, pick up. And then, I'd say, from a project standpoint, this is the time of the year where we see a lot of project activity from a qualifying standpoint and we do see a lot of dispense projects across the full spectrum, some that fall into our EFD business and a lot that fall into our electronics systems business. We haven't really seen the impact of the orders yet there is what I was trying to suggest. I think the earlier comment was suggesting that, as the year builds, as the volume grows, we'll see significant margin improvement. And if you look back historically, last year maybe a little bit of anomaly. But if you look back to last three years or four years, we've typically seen a more modest first quarter and then margins in the 20% for the full year. And assuming these projects that we're working on translates into revenue, we would expect the same kind of improvement in overall annual performance.
Christopher D. Glynn: Okay. So, the margin improvement comment characterizes both normal seasonality, just for the record, but also it is a comment on expectations for full year versus the prior year?
Michael F. Hilton: Yeah. Again, the caveat is those projects translate into the revenue and last year some of them didn't go ahead. But I'd say, we've got a broad range of products this year and we're encouraged by what we see at this point.
Christopher D. Glynn: Okay. And then the 8% core backlog build that's a pretty sweet number. You often make comments just cautioning that 12 week – any 12-week period can have short-term influences. And in this case, the short-term influence might suggest the 8% was understate. But at any rate, could you kind of make that leap and tie that 8% to what – in your wisdom, what your sense of the kind of real trend of your business efforts are out there in the marketplace?
Michael F. Hilton: Well, certainly, the 8% is a good start. The most-recent order rates are down to closer to the sort of 1% level, although we provided the caveat around the Lunar New Year having some impact there. What I would say is, and Greg alluded to this, everything that's going into the consumer non-durable space looks pretty good at this point in time and pretty resilient in the face of a macro environment that's clearly uncertain and trending to the level that we suggested last quarter in the kind of low 2% for the year. I would say, in the larger project range, the things that would affect say product assembly, some of our coatings business, we see good activity. But that's the area, where if anything got pushed, it might be in that area as people question capital spending going forward. And we're seeing some of that activity like that in China leading to some softer numbers in the short term. But I would say, when we look then to project list and funded project list, that also looks encouraging across most businesses. So, in the quarter, we've said, hey, the midpoint looks like 3% even with the backlog at 8% based on the most-recent order rates. And again, I think we're encouraged on the non-durable space, we're cautious of it – on the durable space just because it's just not that clear at the moment. But activity level is not falling off.
Christopher D. Glynn: Great. Makes sense. I'll let it go. Thanks.
Michael F. Hilton: Okay.
Operator: And our next question is from the line of Allison Poliniak with Wells Fargo. Your line is now open.
Allison A. Poliniak-Cusic: Hi, guys. Good morning.
Michael F. Hilton: Hey, Allison.
Allison A. Poliniak-Cusic: Just talking a little bit on the cadence of orders, I know obviously Chinese New Year sort of impacted the back half of that. But was there any notable change in your businesses relative – when we sort of hit that January 1 switch, that capital was freeing up a little bit from your customers?
Michael F. Hilton: I would say, no significant change, typically for those customers that are on an annual capital budget, most things get approved by the end of January and we start to see them let and come through in the February and beyond timeframe. So, through the quarter, I'd say it played out fairly typically as what we expect. So, nothing unusual there. We'd expect the bigger projects to be let in the third quarter – in the second quarter and then into the third quarter.
Allison A. Poliniak-Cusic: Great. Perfect. And then just going back to sort of your comments around acquisition, any – I know you mentioned medical tuck-ins and maybe you have some larger ones there. Any change to the multiples in this environment? Have you noticed this pull in a little bit, just given the uncertainty?
Michael F. Hilton: I would say not yet, we'd like to see that. But I'd say not yet.
Allison A. Poliniak-Cusic: Okay. We'll leave with that then. Thank you.
Michael F. Hilton: Okay.
Operator: And our next question comes from the line of Walter Liptak with Seaport Global. Your line is now open.
Walter Scott Liptak: Hi. Thanks. Good morning, guys.
Michael F. Hilton: Hey, Walter.
Gregory A. Thaxton: Hi, Walter.
Walter Scott Liptak: I want to ask about your U.S. orders, down 6%, that wouldn't be impacted, I don't think, by timing or anything except for maybe some concern over the macro and a slowing international. So, I wonder if you could talk a little bit about the U.S. orders. Is the stock market or concern about the economy bit negative or anything related to the strong dollar and that impacting your export sales?
Michael F. Hilton: No, I would say, most of it would fall in the category of project timing year-over-year. Last year, this period of time, overall U.S. orders were up 12%. And particularly, in our Coatings business we had very, very strong orders in the auto platform business. And so, that's sort of a year-over-year effect that's having some impact. And we think it's more project timing than anything else. So, no, it's not an international or currency-related impact. It's more project timing.
Walter Scott Liptak: Okay. Kind of in a similar way, just being more specific about the adhesive in North America, it sounds great, the mid-single-digit kind of growth outlook for adhesives, I wonder if you could talk specifically about adhesives in North America and the pipeline of orders and activity or pipeline of business out there?
Michael F. Hilton: Yeah. I would say, in general, packaging and nonwovens, was tend to be the non-durable piece, are pretty solid. I would say, on the product assembly side, it's a little weaker at the moment. Again, they tend to be more higher dollar, more capital related. We expect some of that from a seasonal standpoint and we do see good activity. But if anything would get pushed, it would be things like the product assembly area and then a number of the coatings-related activities and maybe some of the bigger polymer projects. So, that's the one that, while we're not hearing that at the moment, that's probably where the risk would be. And right now, it looks more like a normal quarter on the product assembly timing, but that's the one area that's been a little bit softer within the quarter.
Walter Scott Liptak: Okay. Great. Okay. Thank you.
Michael F. Hilton: All right, Walt.
Operator: And our next question is from the line of Kevin Maczka with BB&T Capital Markets. Your line is now open.
Kevin Richard Maczka: Thanks. Good morning.
Michael F. Hilton: Good morning, Kevin.
Kevin Richard Maczka: Mike, we've talked for some time now about these tiered products in the China mobile, I'm wondering if you can given an update there on the traction you're seeing there, the size of business that that is for you now, what kind on growth rate you're seeing, margins, that kind of thing.
Michael F. Hilton: Yeah. So, I would say, it's just starting to move from the handful of unit orders to orders that are more in the range, 20, 30, 40 kind of units at a time, so starting to get some traction. These are mid-tier products, so they would have – they'd be fully automated, but not necessarily as sophisticated as our high-end products when you think about vision system and dual dispensing and things like that. They're coming out of China largely, at our Suzhou facility, so we have nice margins on this business. Not as good as our fully-featured products, but good margins in the business. I would say, though, in general, the Chinese manufacturers are still pretty low on the curve from an automation perspective. They still do a lot manually. And we think, in the long run, that's a nice upside for us. It's not driving that part of the segment at the moment, but we have gone from putting units in, demonstrating them, selling a handful of units to real orders, and so that's encouraging.
Kevin Richard Maczka: And when you talk about units, what's a typical ballpark dollar value for a unit like this? And does it capture still the same type of margin that your higher-end more bells and whistles units do?
Michael F. Hilton: I would say the answer to the first one is it's probably 50% to two-thirds of the pricing of the high-end units and the margins wouldn't be quite as high, but they're probably within 10 points of the kind of margins we see in the high-end units. The high-end units have a lot more features. So, they might be dual dispense systems with laser vision systems and so forth. So, they'd be different margins, but good margins nonetheless.
Kevin Richard Maczka: Yeah. Makes sense. And then, this snapback, if you will, in the electronics demand, how much of that is coming from company-specific things you're doing like this in the way of introducing new products and getting traction with them versus some of your markets just snapping back? I know you mentioned the semiconductor area, but how much of this is market versus things you're doing?
Michael F. Hilton: I would say, it's a mix. The comment on the semi side is really a function of some new technology going into different customers that are on the wafer side of things, so leading-edge customers on the wafer side. So, that's really a combination of new product technology and a new application there, which is encouraging, and like to see that grow. We have introduced a whole new line of dispense technology that's getting some traction. And I'd say we haven't yet seen the big uptick that we would expect seasonally, which as I said earlier would come later in the quarter. So, we are seeing some improvements in the underlying customer base, but it's probably more linked to new products and technologies that we're offering than anything else.
Kevin Richard Maczka: Got it. And if I could just ask one more high level on the adhesives order, so when we see those order growth rates in the 6% to 12% all year last year go to negative 1% in Q1, there was a Chinese New Year in there last year at some point too, where you probably had a week without orders. Your message is not that there is some new macro challenge and things have slowed, but more an issue of timing and the outlook there is still as encouraging as it was last quarter. Is that a fair way to characterize it?
Michael F. Hilton: Yeah. I'd say it's encouraging. And as I commented on the sort of traditional adhesives businesses, the non-durables are solid. The area where we have a little more concern is on the product assembly, which is more investment related, but that's been solid today, but we have some concerns – a little bit more concern going forward. But this is a period where that's typically what you'd see. And on the polymer side, we've come out of two really strong quarters from order entry. It's a little bit off right now, but that looks more like project timing than anything else based on the activity levels. So, I'd say, we are encouraged. We're not trying to get too far ahead of ourselves here, though, just given the general level of uncertainty in the macro environment.
Kevin Richard Maczka: Okay. Thank you.
Operator: And our next question comes from the line of Matt McConnell with RBC Capital Markets. Your line is now open.
Matthew McConnell: Thank you. Good morning.
Michael F. Hilton: Hey, Matt.
Matthew McConnell: I want to follow-up on the comments earlier. I know polymers is doing pretty well. Can you give us a sense of where the margins are now relative to the segment average and maybe what's been accomplished on the restructuring there and what's left to do maybe over the remainder of the year?
Michael F. Hilton: Yeah. Well, I would say, in general, we're still on the early phases of the improvement activity in the polymer side of things. So, the margins aren't where we'd like to see them. But just to give you a sense of things that we've accomplished so far, we have shutdown and exited our Belgian facility in Europe and consolidated that. We have got out of two small product lines related to that, one plating and one our rolls business in the U.S. that were not making money for us and so we've exited those businesses. We have pulled together the plant to consolidate our German facilities from two to one and that requires expanding the one facility. So, that's going to play into 2017. In the U.S., in our dies business, we have three facilities, we'll go down at least one and that should play out over the next year. And then, there's some other activities that we have underway that we'll talk more about later in the year that continue the improvement plan in that business. But I would say, we are on track with our expectations there and we're doing everything we can to pull in the time horizon. But when you look at consolidating facilities and expand ones, while (42:56) the timing to make that happen stretches out more than everybody would like, but we're going as fast as we can in that regard. So, I'd say, we are on track. The margins aren't where we like to see them yet. We haven't really seen the big volume drivers come back yet, even though we've had some nice volume growth and that's something that we expect to see probably more in the 2017, 2018 timeframe. But we're on a good path.
Gregory A. Thaxton: And Matt, this is Greg, I'd add, as part of our overall initiative to drive our margin improvement at 200 basis points, certainly this product line is a part of that improvement.
Matthew McConnell: Okay. All right. Great. Thanks. That's helpful update. Appreciate it.
Operator: And at this time, I'm showing no further questions. I would now like to turn the conference back over to Jim Jaye for any further remarks.
James R. Jaye: Thank you, Shaneez, and thank you everyone for joining us on the call today. I'm available this week for follow-up questions. So, thank you again for your ongoing interest in Nordson. Have a good day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone have a great day.